Operator: Good day, ladies and gentlemen, and welcome to Superior Plus' 2018 Third Quarter Results Conference Call. [Operator Instructions] And as a reminder, today’s call is being recorded for replay purposes. I’d now like to turn the conference over to Rob Dorran, Vice President of Treasury and Investor Relations. Please go ahead.
Rob Dorran: Thank you, James. Good morning, everyone, and welcome to Superior Plus' conference call and webcast to review our 2018 third quarter results. I’m Rob Dorran, VP IR and Treasurer. Joining me today is Luc Desjardins, President and CEO; Beth Summers, Executive VP and CFO; and Darren Hribar, Senior VP and Chief Legal Officer. For this morning’s call, Beth will start with some opening remarks on our financial results for the third quarter and our 2018 and 2019 guidance. And then Luc will provide an update on our recent acquisitions and other company developments. Following their prepared remarks, we will open up the line for questions. Before I turn the call to Beth, I’d like to remind you that some of the comments made today may be forward looking in nature and are based on Superior’s current expectations, estimates, judgments, projections and risks. Further, some of the information provided refers to non-GAAP measures. Please refer to the third quarter MD&A for further details on forward-looking information and non-GAAP measures. I would also encourage listeners to review the MD&A posted on SEDAR and our website yesterday, which includes financial information for the third quarter as we won’t go over each financial metric on today’s call. This will allow us to move more quickly into the question-and-answer period. I’ll now turn the call over to Beth.
Beth Summers: Thank you, Rob, and good morning, everyone. Overall, the third quarter results were in line with management’s expectations despite being lower than the prior year. Consolidated adjusted operating cash flow or AOCF per share, before transaction and other costs, was $0.01 per share, which was $0.10 lower than the prior year quarter, primarily due to an increase in interest costs and weighted average shares outstanding, primarily due to the NGL Propane acquisition as well as a decrease of approximately $3 million in adjusted EBITDA. Interest costs and weighted average shares were higher due to the debt and equity financing for the NGL Propane acquisition, which closed in the third quarter. The NGL Propane business has a high concentration of residential customers, so the third quarter contributes minimal EBITDA due to the warm weather in the summer months. Superior also incurred $15.6 million in transaction and other costs in the third quarter related to the Canwest integration activities and the acquisition costs related to NGL Propane. Turning now to the individual business results. Energy Distribution generated negative EBITDA of – from operations of $3.3 million for the third quarter compared to $0.2 million in the prior year quarter, a $3.5 million decrease, primarily due to higher operating costs or operating expenses, partially offset by an increase in gross profit. Operating expenses were higher than the prior year quarter, primarily due to the incremental expenses from NGL and Canwest, partially offset by a decrease in expenses related to the divested U.S. wholesale distillate business and realized synergies from the Canwest integration. Gross profits were higher than the prior year, primarily due to the incremental contribution from NGL and Canwest, partially offset by weaker wholesale natural gas liquids fundamentals, including butane pricing and differentials and the impact from the divested wholesale distillate business. We expect butane pricing and differentials to improve in the winter. Canadian propane distribution gross profit increased $4.5 million, primarily due to the contribution from Canwest, partially offset by weaker wholesale market fundamentals. Sales volumes increased 47 million liters, driven primarily by incremental volumes from Canwest. Average retail margins were $0.164 per liter compared to $0.175 per liter in the prior year quarter. Average margins were lower than the prior year quarter, primarily due to the impact from the weaker wholesale market fundamentals. Retail propane pricing, which includes all lines of business except wholesale, was consistent with the prior year. U.S. propane distribution gross profit was $19.8 million higher than the prior year quarter due to incremental sales volumes from the NGL and tuck-in acquisitions, partially offset by the sale of the wholesale refined fuel assets in the second quarter. Sales volumes were 112 million liters lower, primarily due to the decrease in wholesale volumes related to the divestiture of the wholesale distillate business, partially offset by increased residential volumes related to NGL and the tuck-in acquisition. Average unit margins were $0.244 per liter, an increase of 244% compared to the prior year quarter, primarily due to the impact from the sale of the wholesale business in the second quarter and the contribution from NGL and tuck-ins, which have a higher margin residential and commercial customers. The improvement in average margins demonstrates the impact of the acquisition of NGL, our roll up strategy and our focus on retail propane distribution, after divesting of the lower-margin wholesale refined fuels business. Going forward, we anticipate the average margins in our U.S. propane distribution business to further improve as a result of implementing further pricing opportunities available in the market. Other services gross profit increased $8 million compared to the prior year quarter, primarily due to contribution from Canwest and NGL. Cash operating expenses were $112.6 million in the third quarter, a $35.8 million increase compared to the prior year quarter, primarily due to incremental expenses from NGL, Canwest and the tuck-in acquisitions, partially offset by the reduction due to the divestiture of the wholesale distillate business. Energy Distribution EBITDA from operations for 2018 is anticipated to be higher than 2017 due to the contribution from NGL Propane and Canwest, expected realized synergies and contribution from the tuck-in acquisitions completed in the Eastern U.S., California and Canada. Energy Distribution EBITDA from operations for 2019 is anticipated to be higher than 2018 due to the impact from the full year results of NGL, the expected synergies of $12.5 million from NGL, anticipated incremental synergies from Canwest integration of $5 million and the full year results from the tuck-in acquisitions completed in 2018. Turning now to Specialty Chemicals. EBITDA from operations for the third quarter was $35.5 million, an increase of $5.9 million compared to the prior year quarter, driven primarily by higher chlor-alkali netbacks and volumes related to continued improvements in the North American chlor-alkali market, partially offset by lower sodium chlorate volumes and pricing and increased operating expenses. Gross profit was $8.1 million higher than the prior year quarter, primarily due to an increase in chlor-alkali sales volumes and increase in chlor-alkali netbacks for most products, partially offset by a decrease in sodium chlorate gross profit noted earlier. Hydrochloric acid sales volumes increased 7%, primarily due to higher oil and gas drilling demand in the U.S. and caustic soda sales volumes increased modestly, primarily due to higher demand in customer purchases. Caustic soda netbacks increased due to higher North American demand, the positive impact of growth in exports from the U.S. Gulf Coast and tighter North American supply. Hydrochloric acid netbacks increased prior to the prior year quarter due to improved demand. Caustic potash or KOH sales volumes declined modestly compared to the prior year quarter due to weakness in the agricultural and fertilizer market and netbacks were modestly higher due to the price increase – or due to price increases and customer mix. Selling, distribution and administrative costs of $40.5 million in the third quarter were $2.8 million higher than the prior year due to distribution costs. Specialty Chemicals 2018 EBITDA from operations is anticipated to be higher than 2017, primarily due to the continued strength in the chlor-alkali business, partially offset by the decrease in sodium chlorate gross profit related to volumes and pricing and increased electricity mill rates. Specialty Chemicals EBITDA from operations for 2019 is anticipated to be consistent with 2018 as the increase in chlor-alkali and sodium chlorate – chloride gross profit is expected to be offset by a decrease in sodium chlorate gross profit and a modest increase in operating expenses. Lastly, the corporate results and the consolidated financial outlook. Corporate costs were $1.8 million lower than the prior year quarter, primarily due to a decrease in incentive plan costs related to the decline in the share price at the end of the quarter. Interest expense was $9.6 million higher than the prior year quarter, primarily due to increased debt levels related to the financing for the NGL transaction and tuck-ins and a modest increase in effective interest rates. On Superior’s debt and leverage, at September 30, 2018, the total debt to adjusted EBITDA leverage ratio was 3.7 times, which is above the long-term target of three times, primarily due to the acquisition of NGL Propane and the related financing. For December 31, 2018, we anticipate total debt to adjusted EBITDA in the range of 3.8 times to 4.2 times. We’re focused on reducing our debt-to-EBITDA ratio and are anticipating the leverage will be in the range of 3.6 times to four times at December 31, 2019. Leverage is anticipated to improve, primarily due to a reduction in debt as cash generated from operations is used to repay debt. During the third quarter, we put the ATM in place to provide an additional tool for financing opportunities. The ATM allows us to access the market and issue shares directly from treasury at our discretion without a discount to the share price and lower fees than a typical large equity issuance. We issued 29,000 shares during the quarter for net proceeds of $0.4 million. We put the ATM in place to provide an additional source of financing for our tuck-in acquisition strategy. Since 2016, the tuck-in acquisitions we have completed utilizing the credit facility – or have been completed using the credit facility, so utilizing the ATM allows the flexibility to opportunistically finance these smaller acquisitions using an equity component as well. We’re confirming our 2018 adjusted EBITDA guidance range of $345 million to $375 million, with a midpoint of $360 million. We’re also confirming our 2018 financial outlook of AOCF per share is $1.75 to $1.95 before transaction and other costs, consistent with the 2018 second quarter release. Consistent with the second quarter and due to the impacts from the increased shares outstanding from the subscription receipt offering, we currently expect to be in the lower part of the AOCF per share range for 2018. We’re also introducing our 2019 adjusted EBITDA guidance range of $445 million to $495 million, which is a 31% increase compared to 2018 based on the midpoint. As previously communicated, we no longer plan to provide AOCF per share guidance, which is consistent with our peer public reporting issues that provide guidance. I’ll now turn the call over to Luc to provide an update on our operations, Evolution 2020 initiative and outlook for the remainder of 2018 and the full year 2019.
Luc Desjardins: Well, thank you, Beth, and good morning, everyone, and thank you for joining us on the call. I would like to add to Beth’s comments that the third quarter contribute approximately 6% to 8% of our annual adjusted EBITDA for the results. So we were modestly lower than the prior year’s result, and we expect to finish 2018 well within our adjusted EBITDA range of $245 million to $275 million. We faced some short-term headwinds related to the butane market and realized loss on foreign exchange, and as Beth mentioned, we expect the butane market to recover during the wintertime. We’ve continued to make acquisitions since our last update you after the second quarter. Since August, we’ve acquired UPE in California, Porco in New York and Musco in Connecticut. The two retail propane acquisitions in the Northeast U.S. are in our current footprint, and we expect to realize at least a turn of up to operational synergy on those acquisitions. I’m excited about UPE acquisition and it provides us a good platform in the large propane market in the U.S. The California propane market is estimated to be at least 500 million gallon and UPE has a significant customer base, supplying an estimate of about 25% to 30% of the whole California market. UPE customer base, with whom they have excellent relationship, is made up of mostly retail propane distributor. For Superior, it also expand our wholesale propane footprint into the U.S., creating more opportunity to use our supply and logistic expertise into other market. I visited the newly acquired UPE business and toured California last week again and learned UPE has a good assets base, strategically supply the California market from the north to the south of California. There are M&A opportunity in both businesses, and we will be disciplined in how we allocate capital to ensure we continue to build value for our shareholders. I’m also pleased with our progress on the integration of Canwest and NGL. We have completed substantially all of the integration activities on Canwest in 2018, and I’d like to thank everyone at Superior Propane for the efforts on this significant project. We will exceed our run rate target of $50 million synergy existing in 2018, and we’re very confident of the $20 million run rate synergy to be concluded by second quarter of 2019. We have some operational integration work remaining at Canwest related to the optimization of delivery in field services, and we will execute on those synergies following the upcoming heating season. We’re on plan and even ahead of plan. We are taking the learning and experience from Canwest integration and applying them to the NGL Propane integration, which has already started. It’s important to note that a majority of integration execution cannot be implemented until early 2019 as we don’t want to disrupt the operation of the customer service of NGL Propane during the winter heating season, which has started for quarter four very well. We expect to achieve synergy of approximately $12.5 million during the 2019 related to the operational improvement. And between the two businesses, there are at least $46 million in synergy that we expect to achieve. By the end of 2019, we expect to have at least 70% of those synergy realized on a run rate basis. I would like to recognize, Ed Bechberger, President of our Specialty Chemicals business. As Ed was recently appointed to the position of Vice Chair of the Chemical Industry Association of Canada at its annual Executive Board meeting. Ed has had a long and distinguished career in the chemical industry, spanning more than 30 years. His appointment to this prestigious position reflects the personal and professional achievement Ed has accomplished during his career with ERCO and Superior Plus, and also speaks to the respect to and support Ed has from his colleagues within the North American chemical industry. With that, I would like to turn the call over to the question period.
Operator: [Operator Instructions] Our first question comes from Jacob Bout with CRBC. Your line is now open.
Jacob Bout: Good morning.
Luc Desjardins: Good morning.
Jacob Bout: Maybe you can just help us with your 2019 guidance. So if we look at comparing 2018 versus 2019, it’s $100 million to $120 million in EBITDA. If you can put that into buckets for us? So how much is going to be from tuck-in acquisitions? How much will be from synergies? And what are your thoughts on the chemical business in 2019?
Luc Desjardins: Let me start. We’re putting the numbers together as we speak. I’ll chat while we’re doing that. I’ll tell you about the chemical business. As you know, we have two plants doing – making caustic and other products. one plant is Saskatchewan, even though there is some caustic price reduction, it was not getting affected. We’re in the backyard of a lot of customers in that region. And on the Wisconsin plant, which is a large plant, about 1/3 of our production is caustic, 2/3 is other chemicals. And we’re into a good regional type of markets. So we did predict and it’s in our budget for the rest of the year and for the quarter one of 2019. Some caustic reduction in price because we know what’s happening with Brazil and the exports from the Gulf, and it’s already baked into our prediction. So we’ve taken the consideration, the volatility and the change in that regard. And like the whole – all of the industry prediction by quarter 2, I think we’re back to a better position in caustic. So our forecasts have been very close to reality in the last many years, and we’re baked in all of those plus and minus with the numbers we’re giving you for 2018 and 2019.
Beth Summers: Yes. And I think, we covered it off, sort of, in the biggest buckets, the contributions from NGL for the base business is likely somewhere between $70 million to $75 million. The tuck-in contributions, I’m looking at the whole year for the tuck-in contributions that have occurred, $10 million to $15 million range from an EBITDA perspective and the synergies are roughly in the range of an incremental $17 million. And then from a chemicals perspective, it’s basically flat.
Jacob Bout: Okay. And maybe just on the chemical side of things, so we heard your thoughts on the caustic, how about the chlorine and the hydrochloric?
Beth Summers: Yes. From our perspective, looking at the hydrochloric acid and the chlorine market, we’re still looking into the next quarter. From a forecast perspective, pricing being modestly higher. From a volume perspective, it being modestly higher in the next quarter. Looking at it going forward, from an overall perspective HCl, we would view, continuing to increase from a pricing perspective, from an oil and gas perspective, sort of, in around that 15% to 20% range. And then from a volume perspective, from a hydrochloric acid perspective, from our perspective, modestly lower. We have been selling large volumes. So if we look at it going forward, probably in and around the same range we see today would be of volume that we would see.
Jacob Bout: Okay. That’s helpful. And my last...
Luc Desjardins: Go ahead, no, thought you were finished. So go ahead, Jacob.
Jacob Bout: Yes, I wanted to ask just a question on the tuck-ins on the U.S. propane. Maybe just comment on what you’re paying from – for these on a multiple basis?
Luc Desjardins: Yes. And probably the very bigger one, you pay a bit more, but we would be in the $7 million to $7.5 million range. And then with the platform on the East Coast getting one turn of improvement very quickly, so bring it that down to $6.5 million. We think we could do $7 million to $10 million in 2019. So one every two months about. We got a pipeline that is quite large and we’re getting to be very cautious about our debt. So we promise and we’ve told you where we’re going to be on the debt side, otherwise, we could run a lot faster. So we’re being cautious and not wanting to increase debt. We’re going to do about $7 million to $12 million in 2019 – $7 million to $10 million, I’m sorry, $7 million to $10 million.
Jacob Bout: Thank you for that.
Luc Desjardins: Thank you Jacob.
Operator: Thank you. Our next question comes from Steve Hansen with Raymond James. Your line is now open.
Steve Hansen: Hi guys, just looking at the Specialty Chemicals side, I think, the price environment we’ve touched on already, but can you just may be describe the operating cost a little bit more clearly? It did seem like the operating costs were a fair bit higher than what we have expected on the period. I’m just trying to understand if there’s anything in there that was outside of the norm?
Beth Summers: Yes. I think one of the impacts that you would be seeing is, there’s our freight costs were higher and that’s linked to the fact that we had a higher proportion of exports than you may have seen historically. So that would’ve been one of the drivers. And then if we would’ve mentioned in previous quarters, looking at it from a year-over-year basis, there’s also an impact from electricity, the mill rates. They would be higher on a year-over-year basis, probably, in a roughly 5% range, is the way to think about it.
Steve Hansen: Okay. Helpful. And just one follow-up for me. Luc, you describe the tuck-in opportunity set as being robust. Can you maybe give us the sense as to what you’re targeting in terms of geography? Are you looking for additional fill-in on the back of the NGL side? Are you looking for more West Coast? I’m just trying to get a better sense for how that capital can be deployed relative to your existing footprint and how the synergies might flow? Thanks.
Luc Desjardins: No, it’s a very good question. So I think, first, we need to – base case is that we have developed, and with Canwest, we’ve just proved that one more time, a very, very modern business model. That every time we look at acquiring a business, we can see 25% improvement. And we’ve done that in the past, we’ve done that with Superior, we’ve done that with Canwest, we will do that with NGL. So when you have a business model that you can – and thousands of independent that you can buy and take $7.5 million bring it to $6 million, honestly, we should roll up as much as we can and keep going. But being – having a position we’re in on the debt side, we’ve been cautious, that’s why I talk about $7 million to $10 million. On the East Coast, you have a bit more synergy when we’ll acquire independent, because we already have 150 different local in north to south. On the West Coast, this was – this particular wholesale that’s been there in the West Coast, about 30% market share in California forever, has unbelievable assets base in the north, in the middle, in the south of California. There’s 300-plus retail propane companies in California. We’ve looked at five, margins are good, business is solid, sustainable, five year. So we now have 125 customers that are retail propane distributors in California. And the relationship, the historical relationship and the trust that UPE has developed over 40 years, is really fantastic. So we’re going to be cautious on the West Coast, because we had not so many cash to acquire business. When they come on the East Coast, we’re going to make sure we don’t overpay. And we have a choice now, because there’s 1,000 independent on the East Coast. On the California coast, it’s more organized in the way there’s less total independent, in the 300 range. And they’re more solid. I think, it’s a good market, it’s a great market. We’re doing more research and analysis and we’re more and more surprised. So we will be cautious, not too much in the West, because we have a lot of opportunity in the East. And then we’ll balance the two. And if you think five years plus, we will be a position number four in the States, if not going to number three in the propane world, East and West Coast, we’ll cover those two. It’ll take many years to come and we hope that opportunity comes that we can make that happen. But it’s a long-term plan.
Steve Hansen: Very helpful thanks.
Operator: Thank you. Our next question comes from Joel Jackson with BMO Capital Markets. Your line is now open.
Robin Fiedler: This is Robin on for Joel. So the U.S. margins were quite strong despite Q3 being the weakest quarter for the higher-margin NGL assets. Can we expect the U.S. propane margins that we saw in Q3 to be able to float for next year? Or I guess, put it another way, how much more margin upside can we expect in the U.S. propane business as the NGL assets make up a larger portion of quarterly earnings in winter quarters?
Luc Desjardins: Well Joel, and generally speaking, those independent players and NGL being a good size, but we can look at them as an independent company, from integrating, having your business model, working through the same tone, the Superior way and humming that way. So we have opportunity. And every time you look at those different businesses and you know we have a steady and intelligent pricing methodology that tells us by market, by region, by brands what the market is like. And there is upside everywhere. So we will, over the next year or two, increase margin in NGL over the next two, three years in the tune of $0.25 to $0.30, probably. So we’re really excited about that. I have said at the beginning and very high level, we bought this company $20 million in synergy. And know what happened to Canwest, we’re there ahead of time. I can assure everybody on the call, it’s going to happen at NGL. We know our business model, we know the efficiency we’re going to bring, we know our productive improvement we’ll bring, fill rate, intelligent pricing, it’s all there, it’s all available for us.
Robin Fiedler: Okay. Great. And just as follow-up, can you give us a sense of how the Energy Distribution earnings will shake out on a quarterly percentage basis for the year? Just assuming an average winter? Thanks.
Beth Summers: Yes. Maybe that one’s best if we take it offline. And we can identify historically what those levels would be and we would anticipate it going forward being similarly. As Luc mentioned earlier in the call, Q3 is typically 6% to 8% of the overall earnings or contribution on EBITDA over the year.
Robin Fiedler: Understand, okay thanks.
Operator: Thank you. Our next question comes from David Newman with Desjardins. Your line is now open.
David Newman: Good morning Luc and Beth.
Luc Desjardins: Hello.
Beth Summers: Good morning.
David Newman: Just on the balance sheet question, do your debt ratios for 2019, does that anticipate the seven to 10 tuck-ins and cash flows that you’ll generate? And does that factor in usage of the ATM, which, I assume, is probably a vehicle of last resort. I didn’t know if you take it for a dry run, but I assume, it’s our last resort?
Beth Summers: The leverage target, that’s 3.6 times to four times, doesn’t factor – it doesn’t factor in any additional equity issued and it also doesn’t factor in any additional acquisitions. So from the perspective in your question on the ATM, the ATM we’ve put in place, it’s a tool that we can look to and we would look to as we would for any other particular equity issue in light of doing the smaller acquisitions. It just allows us to do a smaller amount where we think it’s necessary or opportunistically, it makes sense being that all of the small tuck-in acquisitions we’ve done historically has been 100% debt. So this just gives us that opportunity on an opportunistic basis where it makes sense.
David Newman: Okay. And then in terms of if you did the, let’s say, you did seven to 10 acquisitions, what do you, sort of, anticipate the total price tag could be?
Beth Summers: Yes. That’s difficult – it’s difficult to estimate, because they typically could be anywhere in the range from an EBITDA perspective of $0.5 million to $5 million on a normal basis, some are sometimes bigger and obviously some smaller. But that would be, sort of, the average. I think $0.5 million to $1 million is probably the most common size, to $1 million. So from that perspective, I think, gut feel, when you look at it, in and around, sort of, $85 million to $100 million probably is a good rule or a thought of the seven to 10 on average.
David Newman: Okay. That’s what I would’ve thought. And just sort of switching over to the chemical side, Luc, you talked about the sodium chlorate side. I was a little surprised, because you had one of your competitors pull out capacity out of the market in Quebec. And then you’ve got, I think, half of your book, if I’m not mistaken, being repriced soon and I think the other residual is towards the latter part of 2019. So maybe just, kind of, give us a sense of what’s going on in the sodium chlorate market given that you’ve got capacity out of the market and you’re repricing?
Luc Desjardins: Yes. Very good question. So from a number of negotiations from now to year-end, we have about 1/3 – a bit less than 1/3 left to renegotiate. It’s kind of a bizarre that with such a big closure, I think, everybody and now us, for sure, were expecting much tighter market and this capacity to demand now is getting very tight. And we haven’t seen the price increase that everybody would have liked and expected. I’m a bit of an optimist in that regard and think it’s probably lagging by a year. But no doubt that when you look at them and supplying, we’re exporting more and we have more and more growth coming in the next two years from export contract we signed, something has got to give and it looks like it’s not now. So when you look at 2019, and it is in our forecast that we presented this morning for 2019, we’ve anticipated electricity increase in the Western Canada to be higher than inflation, which is too bad. And to not be able to pass all of those increase to the market is what we baked in on our forecast.
David Newman: Okay. So you’ve 1/3 left to renegotiate. And the part that you’re negotiating is at about half of your total book with the residual towards the latter part of 2019?
Luc Desjardins: No it’s – I don’t know...
David Newman: For full book?
Luc Desjardins: It’s about 25%. So that’s about 25% left of our total capacity to negotiate. And with – what – this week, negotiations are almost finished. By next week, we’ll probably be 12% to 15%.
David Newman: Okay. And did you, Luc – and not to dwell on this, but did you – were you able to manage to cover off electricity rate increases in 2018?
Luc Desjardins: No. No. We’re not able to fully pass through all the increase of electricity.
David Newman: Okay. Okay. And then switching gears, one last question. Just on the NGL market dynamics and the butane, the wholesale was a little bit soft in the quarter, I know, it’s just a – it’s a low watermark of the year or whatever. But maybe just a sense of how that, kind of, those market dynamics might turn in or butane will pick up in the winter period. But this – it’s more of a spread business. So I’m just trying to understand, is it timing, is it catch-up or what might be going on there?
Beth Summers: Yes. Specifically talking about the butane, the butane, it’s with the weak market, the pricing has declined as a result of that. It resulted in losses in inventory. So as we look and we would expect in the winter months for that to improve, then we should recover some of that. You also...
David Newman: And how much of inventory did you keep Beth? How often does that inventory turn, I guess?
Luc Desjardins: Mark-to-market every month.
Beth Summers: Oh, no , no – we would – yes, we market every month. But I think from a turn perspective, it certainly turns, I mean, typically every few months. I mean, certainly, nothing tends to be held for over a year or anything like that. It’s short-term inventory that we would have. Your question around the differentials, yes, that does have an impact on the business. The larger impact that you would have seen, sort of, from a quarter-to-quarter basis, from the wholesale fundamentals, because last year was also weak on the differential front. That was somewhat similar. It’s more of the butane that is different from what we would’ve seen last year.
David Newman: Got it, perfect. Thank you.
Operator: Thank you. And our next question comes from Patrick Kenny with National Bank Finance. Your line is now open.
Patrick Kenny: Good morning Luc, good morning Beth.
Beth Summers: Good morning.
Patrick Kenny: Just on the wholesale business, we’ve seen Edmonton butane prices take another big step down here recently. I know there was an impact on margins in Q3 and might be in Q4 as well. But any color on how your wholesale team might be positioning themselves into 2019 and beyond, just to perhaps, take advantage of your supply of Western Canadian butane?
Beth Summers: Yes. I think the position from a butane perspective, we’ve seen a lot of volatility, as you noted, certainly, in Western Canada in that butane. I think from our perspective of the business, it’s a product that we do use and we do market. That being said, as we look into 2019, our expectation would be more so to just reduce that volatility and likely not do as much of the product as a result of that volatility.
Luc Desjardins: So Patrick, may be, I can add points on the wholesale. So butane, as Beth explained, we’re really shrinking our risk for going forward after this. When it comes to propane, it’s not the same game. We have storage and we distribute to retailer, and take California, for different location. So for us it’s – you always know you’re going to sell it, whether could that change 5%, 10% of the volume. So every position we take on propane, our customer needs a local big storage next door to them to go fill. And having traveled last week, the California market, mainly an area that we have those location, if you’re a retailer and you don’t come to pick up at our place, you have to go 50 miles, 75 miles away for your truck back and forth to pick up. So it is more of an assets solid business that you have less volatility in.
Patrick Kenny: Okay. That’s great. And then just back on the chlorate market. Can you confirm if you’re pushed to increase exports up from the 15% to 20% of sales has stalled out at all, just given the uncertainties out their own trade policies and whatnot? Are you still seeing good momentum offshore?
Luc Desjardins: Good momentum. We did sign contract for the next three years that will take us – I didn’t figure the number, but will take us higher than 16% and it’s in south of Europe, and it’s in 2021, 2022. We have new contracts in south of Europe that are solid good pricing that are coming to us as the next three years unfold. So it’s baked. It’s going to happen. It’s signed. From the West Coast, we ship mainly to Japan and other places. But Japan, we have about 40% market share in chlorate in Japan.
Patrick Kenny: Okay, got it. Thanks Luc.
Operator: [Operator Instructions] And since I see no further questions in queue, I’d like to turn the call back over to Mr. Dorran, for closing remarks.
Rob Dorran: Thank you. I would like to thank you all for your participation in Superior’s 2018 Third Quarter Results Call.
Luc Desjardins: Thank you, everyone.
Beth Summers: Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude today’s conference. Thank you very much for your participation. You may all disconnect.